Operator: Hello, everyone, and welcome to SSR Mining's Fourth Quarter and Full Year 2025 Financial Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Alex Hunchak from SSR Mining. Please go ahead.
Alex Hunchak: Thank you, operator, and hello, everyone. Thank you for joining today's conference call to discuss SSR Mining's Fourth Quarter and Full Year 2025 financial results. Our consolidated financial statements have been presented in accordance with U.S. GAAP. These financial statements have been filed on EDGAR and SEDAR, and they are also available on our website. There is an online webcast accompanying this call, and you will find the information to access the webcast in this afternoon's news release and on our corporate website. Please note that all figures discussed during the call are in U.S. dollars unless otherwise indicated. Today's discussion will include forward-looking statements. So please read the disclosures in the relevant documents. Additionally, we refer to non-GAAP financial measures during our discussion and in the accompanying slides. Please see our press release for information about the comparable GAAP measures. Rod Antal, Executive Chairman; will be joined by Michael Sparks, Chief Financial Officer; and Bill MacNevin, EVP Operations and Sustainability, on today's call. I will now hand the line over to Rod.
Rodney Antal: Great. Thank you, Alex, and good afternoon to you all. We closed 2025 on a high note, delivering full year production above the midpoint of our guidance range and generated more than $100 million in free cash flow in the fourth quarter. As a result, we finished the year with $535 million in cash and more than $1 billion in liquidity. Based on the operating guidance provided with today's financial results, we expect this material free cash flow generation to continue in 2026. Accordingly, and coupled with our view that our share price does not reflect the full value of our portfolio, we are pleased to announce that our Board has approved a share buyback of up to $300 million. If you remember, share buybacks have been a key component of our capital allocation framework in the past, and we are pleased to reestablish a program again. Before moving on to the next slide, I want to take a moment to highlight a number of key catalysts and milestones that we delivered since our third quarter results and also speak to some of the opportunities ahead. First, I want to note particularly strong fourth quarter results from our Cripple Creek and Victor mine and Puna operations which saw both assets exceed their full year guidance ranges and deliver exceptional free cash flow. At Puna in particular, the mine theaters production guidance for the third consecutive year and set records for tonnes processed in both the fourth quarter and over the full year, which was a terrific result. Second, we delivered two technical report summaries, both demonstrating long-term free cash flow generative assets that will bolster our portfolio. The Cripple Creek and Victor TRS, released in November, highlighted an initial 12-year life-of-mine plan with an $824 million NPV at consensus metal prices. With nearly 7 million ounces of resources in addition to the reserves, there is significant optionality here for meaningful mine life extension into the future. In January, we released a TRS for the Hod Maden development project, which highlighted a $1.7 billion NPV and a 39% internal rate of return at consensus metal prices. I will talk more on this in a moment. And thirdly, we continue to advance a compelling brownfield growth projects across the portfolio, which I'm also going to speak to in a moment. As you can see, 2025 was a very successful year, and we're well positioned to continue building on this momentum in 2026. So let's move on to Slide 4. We have a number of highly prospective growth targets across the business. These prospects represent potentially low-cost, high-return growth opportunities that can deliver significant value to our shareholders. In 2026, we have committed a substantial amount of capital investment across the business, and a large portion of that CapEx will be allocated to advancing these growth opportunities through the development pipeline. We look forward to sharing additional details on the projects, including both Marigold and Puna over the coming years. Now let's turn to Slide 5 to focus on Hod Maden. In January, we published a technical report summary for the Hod Maden development project. The TRS clearly reaffirmed Hod Maden as one of the better undeveloped copper, gold project in the sector, and we are thrilled to have a development asset of this quality in our portfolio. As a reminder, Hod Maden is an underground copper, gold project in the northeastern of Türkiye. The mine will be accessed through a single surface portal, and ore will be extracted through a combination of long-haul stoping and cut-and-fill mining methods. The process plant is designed with a nameplate capacity of approximately 2,200 tonnes per day with life of mine average head grade of 7.6 grams of gold and 1.3% of copper. The plant will produce a single high-quality concentrate with life of mine gold and copper recoveries averaging 87% and 97%, respectively. Moving on to the next slide for a few of the TRS highlights. Hod Maden is a unique project with significant scale, best-in-class grades and first quartile all-in sustaining costs that position the asset to deliver compelling free cash flow in the future. On a 100% basis, production is expected to average 240,000 gold equivalent ounces over the first 3 years and 220,000 gold equivalent ounces over the first 5 years. At consensus metal prices, Hod Maden is expected to generate average annual free cash flow of $328 million. While at $4,900 gold price, that free cash flow would jump to approximately $500 million annually. Hod Maden's execution has been meaningfully derisked as a result of the significant engineering and the work completed since our initial investment in the project as well as the benefit of early site works that are taking place. Inclusive of earn-in and milestone payments, SSR's remaining investment is expected to total $470 million, which we expect to fund from our liquidity position and free cash flow outlook. We anticipate a 2.5- to 3-year construction period once the project decision is made. We are very excited about Hod Maden and look forward to providing further updates in due course. Turn over to Slide 7, and I'll hand the call over to Michael.
Michael Sparks: Thank you, Rod, and good afternoon, everyone. In 2026, we expect to produce between 450,000 and 535,000 gold equivalent ounces from our Marigold, CC&V, Seabee and Puna operations. All-in sustaining costs are expected to range between $2,360 and $2,440 per ounce or $2,180 to $2,260 per ounce, excluding the impact of care and maintenance costs at Çöpler. While Çöpler isn't in operation, we continue to guide to cash care and maintenance costs of $20 million to $25 million incurred per quarter. Total gross spend is expected to total $150 million in 2026, driven mainly by capital investments in leach pad expansions at both Marigold and CC&V as well as continued exploration and resource development spend globally. Capital expenditures at Hod Maden are expected to total up to $15 million per month as engineering access road development and site establishment activities continue ahead of a formal construction decision. Upon a positive construction decision by the joint venture, we will provide an update to our growth CapEx outlook at the project. Now let's move to our Q4 results, starting on Slide 8. In the fourth quarter, we produced 120,000 gold equivalent ounces at AISC of $22.50 per ounce or $202 per ounce, excluding costs incurred at Çöpler in the quarter. Fourth quarter sales were 117,000 gold equivalent ounces at an average realized gold price of $4,142 per ounce. Net income attributable to SSR Mining shareholders in Q4 was $181 million or $0.84 per diluted share, while adjusted net income was $190 million or $0.88 per diluted share. For the full year, production of 447,000 gold equivalent ounces exceeded the midpoint of our full-year guidance. As we discussed with our third quarter results, higher-than-forecasted royalty costs tied to higher gold prices and share-based compensation brought our full-year AISC to the top end of our consolidated guidance range. Full-year AISC, excluding costs incurred Çöpler, was $1,923 per ounce comfortably within our guidance. Now let's move to Slide 9. As highlighted in the table on this slide, free cash flow totaled $106 million in the quarter, and $252 million for the full year. Excluding the impact of changes in working capital, full year free cash flow was more than $400 million in 2025. These are excellent results, considering our investment in growth projects across the portfolio. We ended the quarter in a strong financial position with $535 million in cash and total liquidity of over $1 billion. This cash and liquidity position combined with our free cash flow outlook in 2026, supports our continued investment in growth initiatives across the portfolio while also giving us the confidence to initiate a share buyback of up to $300 million. Share buybacks have historically been a key component of our capital allocation and shareholder return approach. Between 2021 and 2024, we repurchased 20 million shares at an average price of $15.76 per share. With convertible notes issued in 2019 with a conversion price of $17.61, these share buybacks provided significant value to our shareholders. Our historical share buybacks, combined with the -- as announcement of a new share buyback program, reiterate our commitment to ensuring our shareholders realized growth on the key per share metrics going forward. Now over to Bill for an update on the Q4 results and 2026 guidance for the operations, starting on Slide 10.
William MacNevin: Thanks, Michael. I'll first start with EHS&S, 2025 as a successful year of strengthening our programs and application in all areas of EHS&S. Key areas advanced were in critical controls and risk management for safety, the integration of closure work into life-of-mine plans to bring forward the work as well as to reduce costs and the upgrading of our community engagement and development application. As I will outline today, we are currently working on growing our business through both greenfield projects and brownfield growth opportunities at all the operations. Safe production and quality implementation of EHS&S standards is our focus ahead to enable an increase in activity to successfully advance all of these opportunities. Now on to Slide 11 for our year-end MRMR. We closed 2025 with 11 million ounces of gold equivalent mineral reserves, a testament to the scale and longevity of our diversified operating platform. Reserves were up nearly 40% year-over-year, driven largely by the incorporation of CC&V and Hod Maden into our consolidated totals as well as other minor impacts from drilling additions and model changes. Mineral reserve price assumptions in 2025 remain very conservative at $1,700 per ounce gold and $20.50 per ounce silver. We hold another nearly 15 million measured indicated and inferred gold equivalent ounces that can support mineral reserve growth across our portfolio in the future. More impressively, we have consistently delivered on our track record of replacing mine depletion. Since 2020, as shown on the right side of this slide, we have more than replaced depletion before incorporating any of the benefits of our accretive M&A transactions over the period. Inclusive of M&A, our mineral reserves are up approximately 40% since 2020, an impressive outcome that ensures our portfolio is poised to benefit from constructive gold and silver markets for years to come. Now on to Slide 12 for a discussion on Marigold. In the fourth quarter, Marigold produced 43,000 ounces of gold and an all-in sustaining cost of $2,089 per ounce. As expected, this is Marigold's strongest period of production in 2025. Technical work around ore body knowledge and processing planning at Marigold has now matured to where this is being integrated into the planning process. As a result of previously highlighted ore blending requirements and to ensure pad recovery performance, the Marigold mining schedule has been updated to account for the blending of durable and nondurable ore. In addition, increased gold prices have resulted in pit expansions and the relocation of a planned waste dump to avoid sterilizing ounces. While this work has changed the production schedule, the total ounces produced at Marigold at the 5-year period is materially the same, as reflected in the 2024 TRS. In 2026, Marigold is expected to produce between 170,000 to 200,000 ounces of gold and an all-in sustaining of $2,320 and $2,390 per ounce. Production is expected to be 55% to 60% weighted to the second half of the year. AISC will be highest in the first half due to both production profile and sustaining capital, which is expected by 70% weighted to the first half. Sustaining capital in 2026 is expected to total $108 million as we made significant investment in fleet and component placements and process planned improvements. These investments will help to ensure Marigold is well positioned for both additional near-term haulage requirements and to enable development of potentially significant mine life extension opportunities ahead. To that end, Buffalo Valley and New Millennium projects continue to advance and SSR Mining anticipates potentially integrating both deposits into an updated Marigold TRS over the next 18 months. Now on to Slide 13 for an update onCC&V. CC&V had another excellent quarter, producing 39,000 ounces of gold and all-in sustaining cost of $1,596 per ounce. Quarterly production benefited from better-than-expected gold recoveries and drove full year SSR Mining attributable production of 125,000 ounces, well exceeding the 110,000 ounce top-end guidance. It is also important to highlight that CC&V generated more than $200 million in mine site free cash flow to our count in 2025, an exceptional outcome when compared to the $100 million upfront transaction outlay we paid to acquire the mine last year. In November, we released a technical report summary for CC&V, showcasing an initial 12-year life of mine with an NPV of $824 million at consensus metal prices. The mine plan was based on 2.8 million ounces of reserves, and CC&V has an additional nearly 7 million ounces of measured indicated and deferred resources to support potential mine life extensions over the long term. Combined with our long-term production platform at Marigold, this TRS reiterated our position as the third largest gold mine producer in the United States. SSR now holds more than 6 million ounces of mineral reserves in U.S. along with an additional 7 million ounces of M&I resources and 2 million ounces of inferred resources, all calculated at conservative metal price assumptions well below the current spot market. In 2026, we expect CC&V's production and costs will be well aligned with figures outlined in the TRS. Full year production of 125,000 to 150,000 ounces and ASIC between 1,780 and 1,850 per ounce should position the asset well for another year of strong free cash flow. Production will be 50% to 55% weighted to the second half of the year, with costs trending above full-year guidance in the full first half. Now over to Slide 14 to discuss Seabee. As highlighted in our Q3 results, Seabee's fourth quarter reflected a continued focus on underground development in the second half and saw increased oil contributions from the lower-grade gap hanging wall. Accordingly, the production totaled approximately 9,000 ounces at an ASIC of $3,433 per ounce in the fourth quarter. In the first half of 2026, underground development will remain the focus as we look to improve stope availability going forward. Full year production of 60,000 to 70,000 ounces gold is expected to be approximately 60% weighted to the second half, with the strongest results in the fourth quarter. ASIC guidance of $2,170 to $2,240 per ounce will be higher than the first half, reflecting the aforementioned production profile and the typical cadence of spend, given the winter road season to start the year. Work at Porky continues to advance and we were able to declare a maiden 200,000 ounce mineral reserve at Porky with the year-end update. We are also excited about some of the recent drilling results at Santoy, and we'll continue advancing both near-term drilling and development at Santoy targeting high grades. Regional exploration is also expected to continue across the property in 2026. Now on to Puna to Slide 15. Puna delivered another excellent year, exceeding its production guidance for the third consecutive year. Record tonnes in both the fourth quarter and over the full year for a major factor in Puna strong results with Q4 production of 2.1 million ounces of silver and ASIC of $18.39 per ounce. Full year ASIC of $14.24 per ounce was slightly better than the guidance and drove mine site free cash flow of more than $250 million in 2025. Puna has been an exceptional contributor to our portfolio, and we see potential to extend operations of Puna well beyond 2028 through growth opportunities both at Chinchillas and Cortaderas going forward. In 2026, we expect Puna will produce 6.25 million to 7 million ounces of silver and all in sustaining costs of $20 to $22 per ounce. As noted, we are pursuing opportunities for additional pit laybacks at and chairs as well as further evaluation of the leaner target to the northeast of the current Chinchillas pit. Drilling has also been very successful at Cortaderas, an underground brownfield deposit on the [ Pirquitas ] property. And we are advancing engineering work to delineate its potential contribution to put Puna's longer-term profile. Now I'll turn back to Rod for closing remarks.
Rodney Antal: Great. Thanks, everyone. We had an excellent finish to 2025. We delivered solid operating results that are well aligned with expectations and now went to 2026 in a strong financial position with a number of key catalysts on the horizon. We're well positioned to deliver year-on-year production growth and strong free cash flow and are also well advanced on a number of growth initiatives across the portfolio that we look forward to sharing over the next 12 to 18 months. So with that, I'm going to turn the call over to the operator for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from George Eadie with UBS.
George Eadie: Can I start with Marigold, please? Just looking at the 21 million to 23 million tonnes stacked at 0.4 gram a tonne and 0.35 in Q4. My math that gets me to the top end of guidance. So maybe just a little bit more color here. Like is there a bit of conservatism baked into the guidance range of 170 to 200?
Rodney Antal: I'm going hand it to Bill.
William MacNevin: As we talked, we've been doing a lot of work, particularly on the technical front, and we baked that now into our updated forward schedule. And that considers how we actually have to complete our blending. So that blending and the updated plan for that is actually well outlined in the plan forward. So we believe that guidance is a good indication of what we'll deliver this year. A different stacking plan comes with that.
George Eadie: Okay. But looking at the tech report, like I know it's old now, but the next 2 years, it had 0.3 gram a tonne. But given commentary before, like should we expect next year's grade incrementally higher versus this year? And then 2027 to 2028, just clarifying, like should we be looking at a stacking grade of high 0.4 to low 5s potentially, given the commentary before about keeping the sort of medium-term outlook unchanged?
William MacNevin: So as always, as noted, right, across 5 years, we're basically in line. In terms of what's happening is with these metal prices, which is very exciting, we've got growth in pet sizes, we've got additional haulage. So there is a complete reschedule of the mine. So we're still delivering the same goal across the period and particularly life the mine as well, but the timing of it will be different. And that's why there's reference there, we've also got Buffalo Valley coming in, we've also got further upgrades. So the reference to completing an updated TRS port -- report comes in there as well. So there's a lot of work going on in terms of those changes ahead.
George Eadie: Okay. But that referenced 5 years, what is that exactly, sorry? Like if I look at the tech report average 5 years from today, it's 235,000 ounces per annum. Like what is that reference 5 years you're speaking to?
Rodney Antal: Yes. I think what he's saying -- let me answer it, Bill. George, it's Rod. Thanks for the question. Look, I think what Bill is outlining is with all the work that we have completed, I mean that's been the blending requirements that we've got for durable and nondurable law we'd actually been doing work over the last 2 years to upgrade some of the ore body knowledge. So it wasn't something that we just did in 1 quarter. It was actually in conclusion of a lot of work over a period. So that's been now built in, and that's what Bill was sort of talking about with the blending requirements in the short term and near term as well as some of these other opportunities where we've identified some shifts in the mine plan because it would have sterilized some other opportunities in the future. So we're actually wrapping all that work up. And then if you add in Buffalo Valley and New Millennium, I think what it needs is a new tech report. And then within that new tech report, we're going to outline the new profiles, not only in the 5 years, but obviously, over the life of mine as well with some of those growth opportunities. So if you just be a little bit patient with us, we'll set it out all at once for you here over the next 12 months.
George Eadie: Yes. Okay. No, that's clear. And maybe just one more if I can, for Puna, what silver prices, do you sort of needed a minimum to go beyond 2028? Like it's 70 ounces or higher? Could we be talking well into the 2030s potential? Or is it a bit too early and dependent still on Cortaderas success?
William MacNevin: We're excited about what we have in front of us. Cortaderas is -- be it, in the underground opportunity, there's a lot of work there to do, but it's very positive. But moving back to Chinchillas itself, we do see opportunity for it to go a lot longer with work going on both in the Chinchillas pit or potentially additional step-backs as well as the Molina pit, which is right within that area being added on as well. So let's just say that works underway at the moment, and this the silver prices more than support that. So we're doing that work as we speak now, and we see it extending into the future.
Rodney Antal: Yes. I'll just -- what Bill said, George, to look at the opportunity set that at Puna has really come through a lot of hard work by the guys over a sort of extended period here. And if you sort of wanted to prioritize it as sort of Chinchillas, Molina, Cortaderas, and that's how we sort of see it sequencing out. Silver price obviously is very helpful in that regard as we look forward and look at those opportunities. But all in all, I think the future is pretty bright for Puna. We've just got to finish some of the work, particularly around Molina and Cortaderas.
Operator: Next question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Great to see the new TRS at Hod Maden. Maybe, Rod, can I ask, is there any kind of timeline that we can expect in terms of SSR Mining coming to a construction decision? And if you can't give us a timeline, could you maybe talk about the different factors that you will consider before making such a decision?
Rodney Antal: Cosmos, it is a great tech report. It certainly outlined a terrific project for all the joint venture partners that are involved. So what's going on at side right now, the work on the ground still continues. So it's not like we've got pens down and we're waiting for approvals. It's the efforts on the ground for the early earthworks some of the creek diversions the civil works, the road access tunnels and others is underway and ongoing. So that work hasn't stopped. Post the publication of the tech report, we're now just going through the sort of review processes with our partners. And once that completed, we'll have a project decision. So I'm not going to set out a timeline on behalf of everyone. But clearly, we're maintaining some progress on the ground there as well. So don't think of it as like a pens down, then we'll pick them back up. We are maintaining some of that momentum.
Cosmos Chiu: Understood. Maybe going to Puna a little bit here. I noticed that the guidance to 6.25 million to 7 million ounces, slightly lower than 7 million to 8 million ounces that you highlighted back in the August 2025 study for 2026. Could you maybe talk a little bit about that?
Rodney Antal: Yes, I'll pass that one on to Bill.
William MacNevin: Just the permanent timeline for the work that we're completing, was it?
Rodney Antal: [ 2 5 versus ] late that we had talked about.
William MacNevin: Yes. So the 6.25 to 7 as we're talking, is our guidance range. You wanted an update against that? Sorry because I missed...
Cosmos Chiu: So the August 2025, your Q3 2025 update you at 2026 silver production at Puna will be between 7 million and 8 million ounces.
William MacNevin: Yes. All right. Yes. No, I see. All right. quarter. Yes. So obviously, with the work we're doing at the moment, and we're continuing to do -- there's more phasing work happening with additional mining happening at Chinchillas. The timing of ounces has changed in saying that we have -- we're looking at a further depth of the production levels staying at a higher level for longer. So in other words, we saw it dropping off quicker it's come down, as you know, but we're looking at it going, maintaining a higher level for longer. We look forward to updating that as we complete some of this work going forward in future. [indiscernible] has stepped down for the year ahead, but it's going to continue for longer. That would be the best way of terming it.
Cosmos Chiu: Okay. So it's a timing thing. We should take those ounces that are not produced in 2026, put into 2027 or 2028?
William MacNevin: It will be, yes. It will be better.
Cosmos Chiu: Perfect. And at Marigold -- sorry, going back to Marigold here, could you maybe explain to me durable versus nondurable ore and blending? I'm not fully appreciating the sort of the technical aspects behind it.
William MacNevin: So to put it into a simple manner, depending on the fines content and how -- and then the height of the heap, it creates compression on the material. So the effectiveness of the solution transfer can be impacted. So if we go back in time for those that have a long history with Marigold, we've had -- we were challenged in late '22, early '23, where we had a -- where we ended up with our heap became bound up. So in other words, a lot of good work has happened to understand that ore body better. And so with that, we now have implemented different land requirements of what can be mixed with what. And then that changes the schedule of how we bring different parts of the ore body together to ensure optimum blending and optimum recovery from the -- does that make -- does that answer that sort of -- in simple terms?
Cosmos Chiu: Yes. I think I got it now. When you mentioned fine, I think I remember that now. So great. And maybe one last question. I see that you're still using fairly conservative numbers for your MRMR estimate $1,700 an ounce for reserves at Marigold. So I guess my question is, I don't know how much you can answer about, but what would a higher gold price assumption due to what you can do at the ore body? It sounds like you're considering it because you're talking about not sterilizing some of the certain parts in the ore bodies or you're leaving that optionality open. And so to the point that you can share with us, what is the higher gold price assumption mean? And could that be incorporated into this new sort of technical report that could come out in 12 to 18 months' time. And you talked about Buffalo Valley and also New Millennium. Could those be part of that new study coming out as you well?
Rodney Antal: Yes, that's right, Cosmos. Look, I think across the portfolio, we took a view for this year at least that given the profile that we already presented ourselves and some of these other growth opportunities that we have, we'll park any decisions on increasing the gold price kind of lowering the cutoff grade, et cetera, and maintain the margins. So -- but we really didn't see anything necessary to do that work. We do have a lot of growth studies, exclusive of gold price that are in front of us that we're looking at. And that's really the key focus at the moment to complete that technical work. So ultimately, we can start to include those into the technical reports for the future. And then obviously, we can come back to the gold price question about looking at where how sensitive some of the operations are for gold price increases as well. So that really was this year. We just got so much other work going on, we just wanted to complete that and then come back to come back to it later on.
Cosmos Chiu: And then would that coincide with your timeline, say at Marigold? Because as you say, you're going to come up with a new technical study in Marigold in 12 to 18 months, could this sort of reevaluation of the gold price coincide with that timeline as well?
Rodney Antal: Correct. Yes, good. And particularly New Millennium and some of those other targets as well.
Operator: The next question comes from Ovais Habib with Scotia Bank.
Ovais Habib: Congrats on a good quarter, especially at Puna and CC&V. A couple of questions from me and just again, going back to Marigold following up on the previous caller's questions, the fine that Marigold, looks like blending is working. And I mean, is this issue now behind us? Or are we still expecting to see this issue linger into Q1?
Rodney Antal: No. In terms of the look forward -- I got this one, Bill. In terms of the look forward for the surveys, it's pretty simple. We're going to have areas where we will encounter fines in the future. It's throughout the ore body. And as Bill said, since '22, we did a lot of work, drilling et cetera, to understand at a greater level of detail, some of those pockets where the final existed. And so that's all been incorporated to the future mine plans to allow for that blending of what we call in durable and nondurable. You'll hear us say that as well in the future. So it informs the scheduling to ensure that we have the appropriate blend. So we get the right outcomes on the heap leach pads in the future. So it hasn't -- it's not a one-off. It's going to be a future feature for Marigold. And all of the work we've been doing is really just in preparation to handle that, which has been terrific work actually. And as I said to -- I think George was asking about, we'll have a new tech report, which will outline all of those requirements in the future as well as some of these other growth opportunities.
Ovais Habib: Got it. And just again, I think there's a follow-up question on Puna as well. I mean drilling has been pretty successful at Cortaderas. Don't believe this deposit has been included in Puna's mine life extension. Rod, are you looking to release any sort of a new mine plan for Puna in the near term, including Cortaderas as well as Chinchillas?
Rodney Antal: Look, I think what we'll probably see at Puna basin -- don't hold me to it because it depends on the work. But I think we'll see some additions to the mine life just through some of the extensions that we're going to go into encounter Chinchillas and potentially in Molina. As they start to -- the drilling programs there and also up at Cortaderas continuing some of the technical work behind those that drill program concludes, then we may consider doing a new tech report into the future. But I think at the moment, the guys have done a terrifically good job at already establishing a longer life at Puna. We see the potential for more of that. And then hopefully, in the longer-dated near term having -- sorry, in the near term for the longer-dated future some of these other larger opportunities playing our feature into Puna well into the future. So it's a pretty exciting where we've come from. If you think back, it wasn't that long ago that folks were thinking about Puna as a depleting asset that was coming towards the end of his life. And I think what we're finding there through the efforts is quite contrary to it.
Ovais Habib: Excellent. And then just moving on to CC&V, which has been a real success for SSR. Currently, I mean, the project holds 4.8 million ounces in M&I. Now you already have a 12-year mine life at CC&V, but what's the plan there to accelerate these ounces into the mine plan and improve the production profile of CC&V? Is this just the permits? Is it more infrastructure that needs to be allocated? Any sort of color there?
Rodney Antal: It's pretty linear from what we can tell at the moment, Ovais. The mine extension is obviously predicated on the success of the amendment for approval. That amendment for that approval allows us to continue with the pad expansions. That is already well sequenced out over sort of the next 5 to 10 years. So that's really the first sort of stage of growth, if you like, on the current reserves as you point out. Is there opportunities to optimize and do things? I mean that's our job is to try to trying to do that. But I wouldn't -- similar to Marigold, Cripple Creek has durable, nondurable ore as well, and it's really important to stay in sequence with that asset base not to put a risk the future. So we'll try. But look, I think it's fairly well set out. And then beyond it, obviously, we'll look at the opportunities for conversion of the 7-odd million ounces of resources that we also have available, which would require then another expansion permit for that regards as well. So look, I think the asset itself has done remarkably well. Since we acquired it, we're very proud of the efforts that have gone on down there and proud of the team, and they're now part of SSR and they deserve a standing ovation because I think it's been a terrific integration into the portfolio. Now our job is to optimize and to extend that asset well into the future and really demonstrate its strength in the portfolio. So we're pretty excited to have it.
Ovais Habib: And just my last question then on Çöpler, Rod. I mean, any sort of progress there that we can kind of put our finger on or any sort of updates that you're looking to provide in the term future on Çöpler? Any sort of discussions going ongoing that you can talk about?
Rodney Antal: Yes. Look, I think that's right, discussions are ongoing. So in terms of like activities, there really was nothing to note since the last quarter. I mean the activities at the site, as Michael sort of mentioned in his financial discussions, had sort of wound down in terms of material movements and site rehabilitation, what we're waiting for the final approvals for the e-storage facility and pad closure. The guys are obviously still very busy in that in regards of care and maintenance of the activities around the plant, in particular, to maintain integrity for a start-up. But that's really been the sort of key focus on the ground at site. And then obviously, as you note, we continue to progress the various discussions with different parts of the government and government authorities. So it's just ongoing at this stage.
Operator: Next question comes from Don DeMarco with National Bank.
Don DeMarco: A lot of my questions have already been answered. But Rod, I'll start off with this. For Hod Maden just continuing on as we're looking forward to this formal construction decision and I see that in the interim, you're looking at maybe spend on the order of about $15 million per month, should we pencil that into our model like beginning as of January 1, I think? Or should we wait until a construction decision? In other words, are you kind of getting ahead of yourselves a little bit here with some of that spending before the formal decision is made?
Rodney Antal: No. Look, a lot of that spending was already committed, Don. On the early site works that I mentioned before, the tunneling is ongoing. We actually just had John shared actually before this meeting, the first blast of the tunnel, which is terrific for that site access tunnels, a lot of the civil works around that Creek diversion, et cetera, are all ongoing. So that was work already in progress, and that's what I was sort of saying before. I think while we're waiting for the decision, we're still very busy at side. The team is very busy on side in getting the site prepare. And then we know, obviously, once a construction decision gets going, we're well prepared to execute contracts and get moving on the bigger build as well. So it's -- I think that's fair to use that sort of number. And then obviously, we'll do a -- we'll update the guidance once we tally up what the actual cash out the door will be for the capital for the construction during 2026.
Don DeMarco: Okay. Okay. That's helpful. And just my final question then, shifting to Marigold, so I see that there has been a sizable increase in sustaining CapEx in '26. And of course, the print details that there's some fleet replacements, of course, there's the plant upgrades. So is this sort of this spend to be onetime in '26? Or should we also be modeling maybe a little bit higher CapEx going forward in the next '27, '28 years?
Rodney Antal: Yes. Look, I'll answer and then Bill can jump in, if you like, as well. I think we do what we always do when we look at our fleet and our mine plans in the long-term exercises around total cost of ownership. Fleets obviously have a useful life arm and particularly parts and maintenance and major component rebuilds. We completed that work for Marigold last year. And what I determined was, in some cases, that it was wise for us from a value perspective to do that work in 2026. So that's really what you're seeing there. So it's normal course. In some cases, some of them might have been accelerated by a year or 2, and some of that fleet replacement might have changed as well, but it's really just sort of an exercise in value for the fleet of understanding the optimized approach to that replacement. But nothing out of the ordinary. Bill?
William MacNevin: That's correct, Rod. And a lot of work, looking at what the optimum timing, is for value. So some things are a little bit earlier than they originally planned, but that's because it gives very positive financial return to the business. That's why we're doing it.
Operator: This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.